Operator: Good afternoon. My name is Don, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Live Nation Entertainment First Quarter 2018 Conference Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. Before we begin, Live Nation has asked me to remind you that this afternoon's call will contain certain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ, including statements related to the company's anticipated financial performance, business prospects, new developments and similar matters. Please refer to Live Nation's SEC filings including the risk factors and cautionary statements included in the company's most recent filings on Form 10-K, 10-Q and 8-K for descriptions of risks and uncertainties that could impact the actual results. Live Nation will also refer to some non-GAAP measures on this call. In accordance with the SEC Regulation G, Live Nation has provided a full reconciliation of the most comparable GAAP measures in their earnings release. The release, reconciliations and other financial or statistical information to be discussed on this call can be found under the Investor Relations tab on investors.livenationentertainment.com. It is now my pleasure to turn the call over to Michael Rapino, President and Chief Executive Officer of Live Nation Entertainment.
Michael Rapino - Live Nation Entertainment, Inc.: Good afternoon and welcome to our first quarter 2018 conference call. 2018 is off to a great start, even better than I expected when we had our February call. The first quarter outperformed our projections as we delivered 19% revenue, 24% AOI, and 76% free cash flow growth, all of our divisions delivering double-digit AOI growth. Even more importantly, we now have booked enough concerts, sold enough tickets, had enough advertising commitments to be confident that we will have a successful 2018, delivering double-digit AOI growth for the year. We continue to benefit from a global concerts industry that is structurally growing with strong tailwinds for both supply and demand. Starting with the Concerts business, revenue was up 20%, and AOI improved by 29% as we promoted 22% more shows for 15% more fans globally in the first quarter. Looking toward the full year, through April, we have booked 5,000 arena, stadium and amphitheater shows, up 21% over this point last year. This growth is led by our amphitheaters, with show count up 27% to over 2,000 shows, growth that we will now further monetize through on-site fan spending. At this point, I have even stronger expectations for growth on-site spending at our amphitheaters. Across a number of initiatives we are executing this year, enhancing our VIP offering, adding points of sale and improving product selection, I now expect our average spend per fan to grow by at least $2.50 through the summer. We also continue to capture more value for the artists and Live Nation through pricing optimization, delivering more of the market value to the artists. As a result, average ticket pricing is up double digits across each amphitheater, arena and stadium tickets sold so far this year. And while North America is having a strong summer, we continue to see strong performance across the 40 countries we promote shows around the world, with tickets sold for international arena shows and festivals up double digits through April. I'm particularly encouraged by our progress in Latin America with tickets sold for shows in the region more than tripling so far this year. And our recently announced acquisition of Rock in Rio will provide us a strong foundation for future growth in Latin America. With our global concerts business looking strong again this year, the Concerts segment continues to be the engine that powers the Live Nation flywheel strategy, growing the profitability of the Concerts business while also driving our sponsorship and ticketing businesses. Our Sponsorship business continues to demonstrate the value of directly connecting with 90 million fans at our concert this year with revenue and AOI both up 17% for the quarter. Through April, we are pacing double digits ahead of last year in committed revenue, and have over 80% of our planned revenue for the year committed. I again expect our growth to be driven by our festivals and large strategic sponsors, and we continue adding a number of these new partners, including Frito Lay, Proctor & Gamble and Twitter. As a result, I expect we'll deliver double-digit AOI growth in Sponsorship again this year. Ticketmaster had a very strong start to the year as well, growing revenue 19% and AOI by 17% for the quarter, as it had its largest quarter in history, transacting almost 60 million tickets for 21% growth in global GTV to $5 billion. At its core, Ticketmaster continues to be the most effective ticketing platform in the world, with the technology to serve venues, sports teams and artists, and with the marketplace to attract and convert ticket buyers. Demonstrating our success, we signed 135 additional clients in the quarter, adding new clients across 19 countries. Our strategic partnership with the NFL is off to a strong start, with substantial increases in both primary and secondary ticket sales in the few weeks since the schedules were released. And as our pioneer client for digital ticketing, the NFL has eliminated ticket PDFs for next season, positioning teams to identify a much higher portion of fans attending their games. Verified Fan, our artist program to help ensure tickets are sold to fans at the onsale, also continues to grow with major onsales including Pearl Jam, Elton John, Thirty Seconds to Mars and 5 Seconds of Summer rolling out campaigns in the first quarter. And we continue investing in new technology to further differentiate Ticketmaster from others in the ticketing business. Today we announced our partnership with, and investment in, Blink Identity which has cutting-edge facial recognition technology, enabling you to associate your digital ticket with your image, and walk into the show. In addition to building technologies to better serve our venues, sports teams and artists, we continue investing to make Ticketmaster an even better marketplace for fans to buy tickets. To start, we have increased the number of events listed on Ticketmaster, up 16% for the quarter to over 195,000 events. And along with this, we increased site visits by 9% while lowering our paid cost of acquisition by 20% through continuing marketing improvements. Once we have customers visit our site, we further improve our conversion, particularly on mobile. Following a redesigned purchase experience on mobile that we rolled out last year, mobile ticket sales are up 36% for the quarter, now accounting for almost 40% of all ticket sales, with conversion rates improving by over 20%. With this strong start to the year, we expect another record year in ticketing. 2018 is on track to deliver double-digit AOI growth along with strong gains in revenue and free cash flow. Our key leading indicators for our Concerts, Sponsorship and Ticketing are ahead of last year, and we expect each of our businesses to deliver record revenue and AOI this year. With that, I will turn the call over to Joe to take you through additional details on our performance this quarter.
Joe Berchtold - Live Nation Entertainment, Inc.: Thanks, Michael. Looking at our business segments, first, Concerts. In the first quarter, Live Nation promoted 7,000 concerts for 12.5 million fans worldwide, increases of 22% and 15%, respectively. Show count growth exceeded fan growth because much of our show count increase came from club shows in the quarter which have a lower number of fans per concert. Both North America and international markets had strong fan growth at 18% and 11%, respectively. And for the full year through April 30, we've sold over 50 million tickets for shows this year, up 5% from last year and putting us on pace for about 90 million fans this year. This growth is largely being driven by North America so far with 34% growth in amphitheater ticket sales and 4% growth in arena ticket sales. Internationally, we have seen similarly strong growth in arena ticket sales, up 15%, with the expected decline in stadium shows. Globally, our festival business continues to expand as well with ticket sales for festivals up 17% year-on-year, heading forward where we expect to be almost 9 million fans this year. Overall, we continue to believe that 2018 will be another strong year for our Concerts business, growing our fan base by mid-single digits, further optimizing pricing, and capturing higher average spend per fan at our amphitheaters. Turning to our Sponsorship & Advertising business, AOI was up 17% for the quarter with North America up 13% and international up 21%. The majority of our growth came from the online portion of our business, up 25% for the quarter, driven by an increase of new advertisers across our digital network globally combined with growth in programmatic ad sales and continued strong interest in our new digital and content products. Given that over 85% of our advertising AOI is typically recognized from the second through fourth quarters, at this time of the year, our committed sales pipeline is our key leading indicator. And with over 80% of our target sponsorship committed, we're tracking to deliver double-digit AOI growth again this year. Finally, Ticketmaster's global GTV in the first quarter was $8.2 billion, up 12% year-on-year. Of this, our fee-bearing GTV was $4.5 billion, up 22% with ticket volume up 7%. Within this, primary GTV was up 22% while secondary GTV was up 28%. North America and international markets were similarly strong, up 23% and 21%, respectively. Concerts activity continues to be the primary driver for GTV growth for Ticketmaster with over 80% of primary GTV growth coming from concerts along with a substantial portion of our secondary growth. Overall, we were very pleased with our first quarter in Ticketing and how it sets us up for the full year. We saw continued strong consumer demand from most tours, also benefiting from some onsales that we were expecting in the second quarter moving into the first quarter. And as a result, we continue to expect mid-single digit growth in ticket sales for the year, generating double-digit growth in fee-bearing GTV. In summary, four months into the year, given the strength of all of our leading indicators, we're confident that we will deliver double-digit AOI growth in 2018. Our flywheel model is working. Our first quarter results were substantially driven by our Ticketing business, notably from selling more concert tickets. We will see these concerts play out throughout the year, driving our high-margin, on-site and sponsorship businesses. On a few specifics, we currently expect year-on-year percentage AOI growth to be fairly consistent across the remaining three quarters. And on FX, we had a 2% to 3% positive impact on the business in Q1, and based on rates today expect Q2 to be about the same. Before handing the call over to Kathy, let me step back and make a few comments about a recent New York Times article and some allegations it made. First, as it relates to the consent decree, we do not believe that over the past eight years, with almost 200,000 shows and thousands of Ticketmaster renewals, that we've made a practice of violating the consent decree. Unfortunately, our competitor, AEG, has chosen to complain to the DoJ whenever they lose to us, which has been often. And when they didn't get what they wanted out of the DoJ, they complained to The New York Times. That's the genesis of this. After AEG complained to the DoJ, we took a hard look at over 30 venues and produced information about our dealings with those venues. The DoJ then raised concerns about 3 of them, 3 out of over 2,000 venue clients in North America. We don't believe there were decree violations with respect to those three, but given the thousands of Ticketmaster venue relationships, this clearly shows we have no systemic issues. Second, it's important to emphasize that under the decree, we are allowed to bundle ticketing and content, and we are allowed to talk subjectively about how ticketing may affect concert routing. We are not allowed to force Ticketmaster on venues, nor are we allowed to retaliate against venues that choose other ticketing providers. And by policy and practice, we don't do either. We take our obligations to comply with the consent decree very seriously, and we broadly agree with the DoJ on what we can and cannot do. And since the beginning of the consent decree, we have had in place ongoing training and controls to ensure that we have the highest possible adherence to the decree. So we just don't believe we've intentionally violated the consent decree. Any possible disagreement with the DoJ is very much on the margin, generally having to deal with comments made by few local promoters over the years and how those comments can be misconstrued. This is not a case where the DoJ is fundamentally questioning our flywheel business model, nor thinks there is anything structurally unlawful about it. So, as a result, we don't see these issues leading to any fundamental changes in our business practices nor any material costs to the company. And I'll now turn the call over to Kathy to go through more on our financial results.
Kathy Willard - Live Nation Entertainment, Inc.: Thanks, Joe, and good afternoon, everyone. As I mentioned on the last call, beginning with this reporting period, we are now reporting royalties and nonrecoupable advances paid to our ticketing clients as a reduction to revenue in our Ticketing segment. This change has no impact to our AOI or operating income. We have adjusted the 2017 financial statements in this 10-Q to reflect this new reporting for comparability. Our key financial highlights for the first quarter of 2018, our revenue was up 19% to $1.5 billion. AOI increased 24% to $114 million. Free cash flow adjusted was $46 million, up $20 million from the first quarter of 2017. And as of March 31, our total deferred revenue related to future shows was $1.8 billion, up 12% over the March of last year. The increase in revenue was driven by all segments with each delivering double-digit growth. The majority of this growth came from Concerts, up 20% with increased activity in arenas globally and North American theaters and clubs. Ticketing revenue was up 19% from higher primary and resale volumes, both driven by concerts as Joe noted. Our AOI growth of 24% for the first quarter was again driven by all three segments delivering double-digit growth. Strong growth in sales volume at Ticketmaster contributed most of the increase. Our operating loss was $6 million in the first quarter, an improvement of $15 million or 72% over last year, driven by the strong operating performance across all our business segments. And net loss for the quarter was $34 million, in line with last year with the increase in interest expense and debt extinguishment losses totaling $7 million primarily related to our March debt refinancing. For the quarter, accretion of redeemable noncontrolling interest was $16 million. For the full year, we currently estimate that this accretion will be approximately $70 million with the remainder for the year fairly consistent across the quarters. Turning to our balance sheet. In March, we issued $300 million of 5.625% senior notes due 2026, $550 million of 2.5% convertible senior notes due 2023, and amended our senior secured credit facility to reduce the interest rate for our term loan B. The proceeds were used to repay the majority of the outstanding convertible senior notes due 2019 and the related repurchase premium and fees, leaving $524 million available to repurchase the remaining balance of the convertible notes due 2019 and for investment in the business. As a result, we recorded $3 million of debt extinguishment loss in the first quarter and we expect total interest expense for the full year to be approximately $140 million with growth evenly across the remaining quarters of 2018. As of March 31, we had total cash of $2.9 billion including $888 million in client cash and $1.3 billion in net concert event-related cash, leaving a free cash balance of $718 million. Net cash provided by operating activities was $775 million, up $14 million over the first quarter of 2017 primarily from our higher deferred revenue. Free cash flow adjusted was $46 million, up $20 million from the first quarter of last year. Our total capital expenditures for the quarter were $37 million with 52% spent on revenue-generating items. We currently expect our capital expenditures for the full year to be approximately $250 million with approximately half on revenue-generating CapEx. Our total net debt as of March 31 was $2.9 billion with a weighted average cost of 4.1%. For the full year 2018, based on our current estimates, corporate AOI will be in line with last year with Q2 cost increasing over prior year by approximately 10%. And non-cash compensation will also be about the same as last year and fairly consistent across the quarter. For the second quarter of 2018, we currently expect that acquisition expenses will be about $10 million, which includes the estimated costs for Rock in Rio along with other transactions. And the impact of all net expenses below operating income will be approximately 25% of AOI for Q2. Thank you for joining us today, and we will now open the call for questions. Operator?
Operator: Thank you. And we'll take our first question from Amy Yong with Macquarie.
Amy Yong - Macquarie Capital (USA), Inc.: Thanks and good afternoon. So first, on Verified Fan, maybe there's a little bit of controversy out there with the Taylor Swift concert. What are you learning and how many fans do you have right now? Anything you could share with us would be really great. And I know – my second question is actually on concert mix. I know that margins are not a really big focus for you. But obviously given the mix of amphitheaters and the onsite revenue bogey that you laid out, should we be expecting that margins this year will improve relative to last year? Thank you.
Michael Rapino - Live Nation Entertainment, Inc.: Thanks, Amy. It's Michael. I'll take Verified Fan. We had a very successful launch last year in terms of distribution and getting it across a ton of tours and kind of pursuing our goal of, can we identify fans in advance and then make sure that we can deliver that ticket to that fan at the price the artist wanted. 2017, we learned a lot. I would say that what we learned is the reality of Verified Fan is as long as we do it in advance and we get registered fans and then we have inventory to match, it works seamlessly. Where we learned some lessons is when we over-verified and didn't have enough inventory, i.e., you got verified but we still didn't have enough tickets – not a good experience for the fan – or when we did verify fan at onsale, and put too much pressure at one's time. So, overall, we've learned through the execution that when we register the fan in advance of the onsale, get that database done, correlate that, flush out any of the bad bots, we can identify fans directly and sell them. We wouldn't see any correlation on the controversy of Taylor Swift Verified Fan reducing sales. That wouldn't be the reason sales are strong or soft for an artist. Verified Fan is kind of a separate strategy, just a separate profiling to get fans the direct price. We've got a bunch of artists again using it this year. We think it's part of an ongoing evolution of artists taking control of delivering that ticket at their price.
Joe Berchtold - Live Nation Entertainment, Inc.: And then this is Joe, Amy. On the concert mix, because all of the on-site revenues, $2.5 growth that Michael spoke about, all gets reported within the Concerts segment and that is – flows through at a very high margin. Absolutely, you're correct. When you have a shift in activity towards the amphitheaters, you would naturally see some margin expansion on the Concert business. As I think, we've talked in the past, I think, for the Concert business this year, we absolutely expect AOI to grow at an even more rapid rate than revenue because of that shift.
Amy Yong - Macquarie Capital (USA), Inc.: Great. Thank you.
Operator: We'll take our next question from Brandon Ross with BTIG.
Brandon Ross - BTIG LLC: Thanks for taking the question. So I know this summer for some of the high profile tours like Taylor and Beyoncé, you've raised price with the design of kind of smoking out brokers. But it looks like ticket sales for some of those shows are pretty relatively weak. How much of a sales lift do you expect there to be closer to the – closer to when those shows actually happen and how do you think about the tradeoff between attendance and price? And finally, can you kind of talk through the pluses and minuses of the strategy to take the brokers out of the equation. Thanks.
Michael Rapino - Live Nation Entertainment, Inc.: All right. Brandon, I'll unpack that. We're not the promoter on Taylor Swift in America. So I don't know what those counts are. So, I can't comment on what pricing strategy they had there. We are doing Beyoncé, Jay-Z stadium tour. And that, I'm not sure what you're referencing there because the tour overall is very successful, would be close to over 90% sold. And by the time the show has all happened, we'll be close to sellout. So, no issues on selling. No tradeoff was put forward there. Priced aggressively, but also selling aggressively. But you are right. In theory, overall, what we like to talk to artists about is find that fine line. If you sell out at 10:01, you, in theory, probably have underpriced your show. So, when you sell out at 10:01 and there's eight pages of secondary sites selling your ticket at a higher price, you probably had pricing opportunity. So, artists are always the great brand manager trying to find that sweet spot between monetizing the show, as well as staying true to what the brand position is on pricing. So, I think, our thesis, overall, we talk about is every year, we see that the artist is pricing the house smarter, higher in the front end, maybe lower in the back end, and trying to take advantage of some of that secondary market that lives outside of their pot. So, overall, year-after-year, I think for the next five, six, seven years, you'll see artists every year climb back more from secondary into their own pricing and monetizing it themselves, which is great for our business.
Brandon Ross - BTIG LLC: Great. And then just to follow-up on The New York Times, is – that investigation is now fully over with, it sounds like? Just to confirm.
Michael Rapino - Live Nation Entertainment, Inc.: Well, there are the three venues that we noted that they've asked us questions about. So, we've given them information and we're not doing anything. But for the entire consent decree period, they've got the right to be coming back and asking us questions.
Brandon Ross - BTIG LLC: Great. Thanks so much.
Operator: We'll go next to Jason Bazinet with Citi.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: So this is a little bit of a strange question. But I guess I never really looked at the Ticketmaster growth prior to the Live Nation Ticketmaster combination until this New York Times article came out. And one of the things that surprised me is Ticketmaster's growth didn't really accelerate post the transaction. So I know it's a strange question because you guys had a good quarter and the results have been very strong at Ticketmaster along the way. But what evidence do you guys look at to know that the flywheel is actually working because when I look at that pre-deal, post-deal growth at Ticketmaster, it's not obvious I guess from the outside?
Michael Rapino - Live Nation Entertainment, Inc.: Well, one of the things, Jason, that we look at is, is the portion of the Ticketmaster growth that's being driven by the Concert business. And as we said for this quarter, that it was 80% of the GTV growth was driven by the Concert business. I think, part of this is you need to separate out the fee-bearing versus the non-fee-bearing. The fee-bearing being – sorry, the non-fee-bearing being a historically static season ticket volume that can historic growth rates. But if you look just at the fee-bearing GTV, I would have to believe we've got a substantially accelerated growth which is driven in good part by the fact that we've grown our Concert business. I don't remember the exact numbers in 2010 but call it 30-odd million fans to what should be now 90 million fans this year and with a very high portion of those fee going through Ticketmaster and being another way that we're continuing to monetize the overall events. So, I'm not sure what the facts are that you have, but that's how we look at it.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: That's very helpful. Thank you.
Operator: We'll take our next question from David Karnovsky with JPMorgan.
David Karnovsky - JPMorgan Securities LLC: Hi. Thank you. Your release had noted that the show count for amps is up 27% this year, and I think, your 10-K has stated North America amp attendance last year was around 16 million. I know there're other factors to consider such as the mix of amp shows. But can we assume a similar growth rate for North America amp attendance this year?
Michael Rapino - Live Nation Entertainment, Inc.: I think, it's a little bit early in the year. We still have all of our – almost all of our shows to play off. I think we gave you the guidance overall where we think the net balance between mix shift and volume increase in the amps will play out to around 90 million fans overall.
David Karnovsky - JPMorgan Securities LLC: Okay. And then just on the Rock in Rio acquisition, can you just talk about how this changes your outlook for expansion in South America and then what you see is the opportunity to expand the brand to other territories?
Michael Rapino - Live Nation Entertainment, Inc.: Yeah. It gives us a great beacon in South America. We're now in 40 countries. We've been, over the last 15 years, good at entering markets. We tend to find an access point, either a promoter, existing promoting business, or a historic festival, which is attached to usually a great operator. Rock in Rio, one of the greatest festivals in the world, so good credible jump to our Brazilian business, and that will now be a real beacon for building around our Brazil and into the other South American markets, obviously sends a very loud signal to all of the potential partners we've been looking to bolt on to down there that we are serious about South America. Over the last couple of years, we've been put in lots of Metallica and Coldplay, U2 stadium tours throughout the region. So, we've got great partners, great experience. Now, we're going to turn that with Rock in Rio, turn it into a actual Live Nation businesses down there. This will be the start.
David Karnovsky - JPMorgan Securities LLC: Thank you.
Operator: We'll take our next question from Doug Arthur with Huber Research.
Douglas Middleton Arthur - Huber Research Partners LLC: Yeah, thanks. Couple of, sort of, boring financial questions and then a bigger picture question. Kathy, on the accounting treatment of the nonrecoups, on page 24 of the 10-Q, it looks like there is a – to net out the impact on AOI, there's a kind of other and elimination of a negative $1.2 million, so is that a one-time thing or is that to – is that something one should assume going forward? I mean, it's a small number but it lowers the AI impact add-back of nonrecoups.
Kathy Willard - Live Nation Entertainment, Inc.: That will continue going forward. That's just eliminating some of the nonrecoup activity between Live Nation and Ticketmaster. So that's why we're adding back the net number.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay. And then in terms of your restatement for last year, I mean, the segment elimination revenue figure and loss figure is down dramatically from a year ago. So, I assume that's the nonrecoup change.
Kathy Willard - Live Nation Entertainment, Inc.: Correct. So, yes, we've adjusted last year's to match the new accounting. So, what you're seeing in the Q, gives you consistent accounting between 2017 and 2018. But so, everything therein, the total and Ticketing had to be adjusted.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay. And then finally, sort of bigger picture, how much did acquisition sort of ballpark impact particularly Ticketing in the quarter at large because you have been pretty active on that front?
Joe Berchtold - Live Nation Entertainment, Inc.: Well, we've been pretty active. But any given year, it's – I don't know the exact numbers, but I'd be surprised if it wasn't 80%-plus organic. The acquisitions we tend to make tend to be bolt-on acquisitions that we're then driving growth from. Most of the acquisitions we're making are concert promoters and festivals that we then bring the Ticketing, the Sponsorship components into. Ticketing acquisitions we tend to make are pieces of technology hires not material in any kind of near-term driving of our AOI growth.
Douglas Middleton Arthur - Huber Research Partners LLC: Okay. Great. Thank you.
Operator: We'll go next to David Joyce with Evercore.
David Joyce - Evercore Group LLC: Thank you. Couple questions on the Latin American concert front. First, on Rock in Rio, could you provide some more detail there why is it that you're not consolidating until next year? Is it just because there's no activity this year? And what's your growth plans there because they've sort of alternated into some – in different regions? Is that a brand that you're going to take more globally? And then secondarily, you talked about the volume tripling there. Is that just from the new hires or is it – that you've done in the region or has that been from just a heightened level of concert activity, or how should we think about that kind of allocation there? Thank you.
Michael Rapino - Live Nation Entertainment, Inc.: Yeah. Rock in Rio happens every couple years. So 2019 is the next Rock in Rio. So that's why the business will be active then. It's not much of a business in between. Overall, we look at – we've said on a global basis, we think that now that the artist is unlocked on a global basis and demand in stadiums from Columbia to Cape Town is the same as Detroit. Thanks to the Internet, YouTube and Spotify everybody knows about the new Drake single this morning. So our job is to build this global platform. The major cities around the world where these superstar artists can continue to tour as they look to travel the world and tour more and more markets in South America, in Asia and in Eastern Europe. So, South America is a market we've – we always go slow, we always go down, find partners, get to understand the market, get to understand all the players. And then when we think we can find acquisitions of current partners with great history and operational skills, we tend to look to acquire them and then add our synergies to that market to drive our growth. So we look at Latin America as a strong market overall in the long term. Artists as I said, Coldplay, U2, Metallica, Rihanna, Shakira, most artists now when we look at their global touring, those hundred shows that they may allocate, they're all looking now to say Latin America is a 15 city kind of tour out of the hundred available dates. And we want to make sure we're able to monetize those dates to the markets. And Rock in Rio is by far an incredible asset to build our operations around.
David Joyce - Evercore Group LLC: All right. Thank you.
Operator: We'll take our next question from Ryan Sundby with William Blair.
Ryan Ingemar Sundby - William Blair & Co. LLC: Yeah. Hi, everyone. Thanks for taking the questions and congrats on the quarter. But Joe, just a quick question there, I think, you mentioned that the shift in onsales from Q2 into Q1, how much did that had in the quarter?
Joe Berchtold - Live Nation Entertainment, Inc.: Probably now it's just a chunk of the impact for Ticketing. It only impacted our Ticketing segment, and it was a piece of our over-delivery relative to where we thought we would be a couple of months ago.
Ryan Ingemar Sundby - William Blair & Co. LLC: Okay. But that wouldn't impact the numbers through the end of April, right?
Joe Berchtold - Live Nation Entertainment, Inc.: Well, no. Just – it would be a bit of increase in terms of our Ticketmaster ticket sales through April. Just for some of the – if you phased in one or two of the bigger onsales into Q2 versus Q1. Not a huge impact.
Ryan Ingemar Sundby - William Blair & Co. LLC: Okay, got it. And then, Michael, I guess any kind of color or is there an initiative that kind of stands out where the extra average spend per fan is coming from this year?
Michael Rapino - Live Nation Entertainment, Inc.: I would say it's more structural. I think over the last few years, we've been adding that DNA to our business. Historically, we were a great concert promoter, and we were a great marketer of tickets and we weren't a great hospitality business. So when we brought our – some outside skillset in, we reorganized our venue business last year to put more focus around the true experience at amphitheaters, put some resources against that. We start to see some real activity and some real buy-in on the local level. So I think the amount of overall initiatives we have across our 50 amphitheaters this year would be at an all-time high in terms of new POS, new product lines, speed to play in the lines, more washrooms, a whole host of initiatives we've put together this year in the quest to grow $2 plus. So, great execution with a new leadership team that comes with the hospitality background foreseeing some real focus across our amphitheaters.
Ryan Ingemar Sundby - William Blair & Co. LLC: Okay. Got it. Thanks. And then I guess the investment in Blink Identity, it seems like an interesting concept. Is this kind of how you envision the future of fans entering the – entering a show or – I guess what stands out about this versus maybe like a radio frequency or something like that?
Michael Rapino - Live Nation Entertainment, Inc.: All right. These are some very talented guys that have come out with what we consider to be a very interesting technology that lets you tie in your overall identity to the tickets. And for us, it's part of what we've tried to redefine Ticketmaster as over the past several years. And one of the reasons why we do think it's more successful now is, we're willing to look at outside technologies, outside partners, how it is we can bring them in and enhance the overall fan experience, make things more effective for the venues. Whether this becomes the solution for everything or whether this becomes interesting product for a number of clients is to be determined. We just think it's the important part of where we're moving the Ticketmaster DNA to.
Ryan Ingemar Sundby - William Blair & Co. LLC: Okay. Got it. And then I guess just last one from me. It seems like over the last couple years, you've experimented with some kind of unique offerings such as the $20 National Concert Week, the Festival Passports. Just wondering if you could maybe talk about the fan appetite out there for some of these differentiated types of packages, and maybe how you kind of see these type of offerings evolving in the future?
Michael Rapino - Live Nation Entertainment, Inc.: We're in the same business of hotels and airlines. Midnight, the product is not worth anything. So, our job is to continually figure out ways to get that casual fan, who wasn't going to end up going to that show, to think about going to our show. So we've got an incredible database set. We've got a great internal team. And their mission the last couple of years is to wake up and figure out how do we create these holistic scale offers that can drive casual fans to come to the venue and at scale. Because of our business, we can deliver those offerings with real impact. So we think they're very effective. You'll see us continually look to be in that business of consumer offerings that are going to drive both the low end, whether it's a price discount or a high-end on a VIP experience. We think lots of opportunity to keep delivering segment value offers to our audience at scale.
Ryan Ingemar Sundby - William Blair & Co. LLC: Great. Thanks, guys.
Operator: We'll go to our next question from John Tinker with Gabelli.
John Tinker - Gabelli & Company: Hi. Your cousins at Pandora tried and failed to enter the ticketing business. Spotify is emerging as the leading streaming company, and they're beginning to look a little more at ticketing. Is there anything you see there at all which could suggest they will do a better job?
Michael Rapino - Live Nation Entertainment, Inc.: I don't even know what that means, Tinker. I know Daniel pretty well. I don't see much of a ticketing company over at Spotify, so it was a nice jump. But what are you asking?
John Tinker - Gabelli & Company: No. I'm asking if you think they could actually get in the ticketing business or if there's any evidence that this is real. I mean, the Pandora guys really I don't think had any idea what they're doing. That's why the new team have gone out of it, whereas Spotify has been pretty effective. Their problem is that they're not structured to make money. They have to change their business model and they've talked openly about that issue and how they need to add new services and ticketing is an obvious area. I just wonder if there's any evidence they're actually getting anywhere.
Michael Rapino - Live Nation Entertainment, Inc.: We think – we've got a ton of respect for Daniel. He's new at the game as we saw yesterday. So, I think, he's got a big mission ahead of him and some staying in his lane, driving the streaming business against the Apples and the Amazons of the world. We have a partnership. We've been doing our API at Spotify like other places for a while. But at the core, I don't think Spotify is someone that's looking to get into our business nor are we looking to get in the streaming business. But we'll look at all those partners. There's some distribution opportunity for some incremental tickets. But at the core, we'll stay in our lane and we think we have lots of opportunity.
John Tinker - Gabelli & Company: Great. Thank you. Good quarter.
Operator: We'll go for our next question to John Healy with Northcoast Research.
John Healy - Northcoast Research Partners LLC: Thank you. I wanted to ask a little bit about the Sponsorship business. One of the things that kind of looking at the growth rates here that kind of jumped out at me was it appears like the new data international side of Sponsorship performed really well this quarter. And I just wanted to ask where you see the runway for that business? As you look at things, do you see that maybe you've gotten a lot of the low hanging fruit on the U.S. side and there's huge opportunities on the international side. I'm just kind of curious to assess the progress you've made the last three or four years on Sponsorship. And has there been a geographic focus and is the runway internationally maybe bigger than we think?
Michael Rapino - Live Nation Entertainment, Inc.: Thank you. We think runway – we think Sponsorship – the same for 14 years, Sponsorships got a lot of runway ahead of it. It is one of the foundations to what we do for a living. It's not an ancillary business, it's what we do. And we think that the wind at our back with experiences, you talk to any CMO, any brand in the marketplace, they're all looking at how do I connect with customers in this new age. And when we tell them we got 91 million and we know where they're going to be on a Thursday and what seat they're going to be in, we have a great platform. So we look at both international, U.S. Canada, we think every day that we – Brazil now with Rock in Rio as we keep building our flywheel of concerts, we think we know that that drives our audience and our sponsorship potential with brands who are hungry for some of their budget to be allocated to this experience space. So what we think – we think the market in the U.S. and Canada we still have a lot of room because it's a market where we continually are able to create great products. We have such a great asset base here. So we think the runway here is different in the sense of it's got a lot of levers around it. We have Lollapalooza and amphitheaters, incredible asset base that still has great runway. International just got good runway because it's new to us in a lot of markets. I mean we have zero in Brazil and next year and in like couple years, we'll have more there, so more about markets international as we've been growing those, we're able to ramp up sponsorship. So higher growth rate from the sake of there was a lower base, but we think both markets will continually have good double digit runway for years to come.
John Healy - Northcoast Research Partners LLC: Great. And then just one clarification question I know you talked about the double digit AOI growth for the year. In the fourth quarter, there was kind of the hit on the legal settlement I think of $110 million that you ran through the AOI in that lines, I believe. If we think about that 10% or the double digit growth rate that maybe you're talking to for the year, should we be maybe adjusting that AOI number grossing in higher to reflect that legal settlement? Just trying to put that in context. And then just lastly, just one comment, thank you for the color on the DoJ and The New York Times issue. I thought you guys really provided some useful color there, and thank you for being transparent on that front.
Michael Rapino - Live Nation Entertainment, Inc.: Thank you. We worked hard on it.
Kathy Willard - Live Nation Entertainment, Inc.: Yeah. On the AOI, yes, we're talking about adjusted for Songkick. So take last year, add back the $110 million and then the growth comes off of that.
John Healy - Northcoast Research Partners LLC: Excellent. Thank you.
Operator: That concludes today's question-and-answer session and brings to the end today's conference. We thank you for your participation. You may now disconnect.